Operator: Welcome to Standard Life's results presentation. With me on the platform are Luke Savage, our Chief Financial Officer Colin Clark, Head of our Global Client Group; and Paul Matthews, Chief Executive of Pensions and Savings, unfortunately for the last time. Paul has chosen to retired after 28 years at Standard Life, so I thought I'd give you plenty of advance notice, this is your last chance to ask questions of Paul [Operator Instructions] Once you’ve read the compliance slide, I'll get the presentations underway. Over the next 40 minutes or so, I'll give a brief overview of our 2016. Luke will then go through the results in some detail and I'll come back and set 2016 in its strategic context. We'll then move to a question-and-answer where Luke, Paul, myself and a whole bunch of executives in the front row will do our level best to answer your questions. 2016 was a year when Standard Life made good progress towards creating a world-class investment company. As we promised at the interims, we increased our pace of strategic delivery. We continued with our targeted investments in diversification and growth. We improved our financial discipline with a focus on driving greater cost efficiencies. We also strengthened our long-time relationships with clients and customers, including the longstanding customers in our mature books. Our focus on strategic delivery strengthened the resilience and sustainability of our simple capital-light business model which continued to deliver for clients, customers, our people and shareholders. Okay, we grew assets by 16% and fee-based income by 5%. But the benefits of the investments we made in diversification were most visible in our growth channels. Here we saw asset growth of 20%, revenue growth of 10% and net inflows of GBP4.1 billion. This robust and well-diversified growth was more than enough to offset the impact on revenues of both the GBP4.3 billion outflows from GARS and the continued long-term runoff of our mature book of business. We also improved our financial discipline. We lowered the cost/income ratio to 62% through careful cost management. We delivered the integration of Ignis early, enabling Standard Life Investments to deliver the 45% EBITDA margin one year ahead of schedule. The benefits of a well-diversified customer and client base, combined with the improvements in our operating leverage, helped us deliver a 9% increase in operating profit and cash generation. That provided support for continued dividend growth. Our final dividend of 13.35p takes the total to the year to 19.82p and marks a decade of unbroken dividend growth at Standard Life. With that, I'll hand over to Luke who'll go through the detail and I'll come back and talk about 2016 in its strategic context. Luke.
Luke Savage: Thank you and good morning, ladies and gentlemen. As Keith said, this is a strong set of results. If we turn first to the summary P&L, you can see in the first two rows that growth in income has been driven by our fee business which represented 95% of our GBP1.25 billion of underlying income. Income from our spread/risk business remained steady at GBP92 million and it's a reflection of our move towards a capital-light business that doesn't have balance sheet that the PRA have recategorized Standard Life from a major life group to a retail life group. We'll look at the individual components of our profit in more detail later. But before I move on, I would point out how the growth in fee revenue, combined with a sharpened focus on efficiency, has allowed us to increase the underlying performance by 8% to GBP681 million. And behind that sits an 11% increase in the underlying performance of our fee business, now standing at GBP596 million. You can see we continued to benefit from favor assumption changes, largely with respect to longevity, adding GBP42 million and almost unchanged on last year. And helping to drive that operating profit, as Keith said up 9% to GBP723 million. So a strong set of results. But what about our non-operating? We said a year ago that, we expected non-operating costs to fall in 2016. And annuity provisions aside, which I'll come back to, you can see that we've delivered on that with non-operating cost down GBP158 million from GBP257 million down to GBP99 million this year. So in terms of the annuity provision, you remember that we announced in October that the FCA's review of annuity sales showed that a number of sales that we made since July 2008 did not adequately explain to customers that they may have been eligible for enhanced annuity. Now to us that is obviously disappointing. What we also said at the time was that we'd be undertaking a past-business review of these non-advised annuity sales. And as a result of that commitment, we've made a provision of GBP175 million to cover both the possible customer redress, together with the sizeable program costs of undertaking the review itself. I would, however, stress that we're not at this point taking credit for any PI insurance recovery, but we are aiming to recoup up to GBP100 million. Let's look now in more detail at the first component of our business model, increasing assets. Despite volatile markets, we gathered over GBP4 billion in net new flows through our growth channels, helped by the diversity of our business. We also completed on the acquisition of Elevate, adding a further GBP11 billion of assets, while our mature fee businesses, which are in long-term structural runoff, saw net outflows of GBP6.2 billion, down from GBP8 billion last year, helped by the winning of a GBP1.2 billion mandate from Phoenix in the fourth quarter. A combination of rising markets and the weak pound helped to add over GBP40 billion through market movements, to give us total assets under administration of GBP357 billion, up 16% on the year. Within that market movement, roughly one-third was FX and two-thirds from other market movements. Before we take a look at the drivers behind the GBP4 billion of net flows across our growth channels, we can see how they break down here. And we've shown not just the strong net flows, but the strong gross inflows that we generated by channel at GBP38.6 billion, little changed year-on-year. So if we turn now to institutional and wholesale, it's worth starting off by saying that gross flows here have also remained strong, at GBP27.7 billion, this year compared to GBP30.5 billion last year. And at the net level, we've delivered GBP1.1 billion of net institutional flows, from a business increasingly diversified by geography, by customer type and by investment solution. In wholesale, along with most of the entire industry which, according to the Pridham Report, was the worst the industry's seen for 20 years, we've had a challenging time. The uncertainty of the euro, the U.S elections and so on has driven a trend of investors taking risk off the table, with us seeing net outflows of GBP1.7 billion. But to put that into context, that is against closing wholesale assets of GBP50 billion and a UK market share that remains strong at 4.7%, a testament to the strength of our franchise across a broad range of asset classes. We're seeing the benefits of our investment in our capability and global distribution that we've been making, with growing demand for an increasingly broad range of investment solutions. So whilst demand for GARS was weaker in 2016, as Keith said GBP4.3 billion net outflows largely from the more reactive wholesale channel, demand for our other products continued to grow. In 2016 alone, we launched 16 new funds, many in the new-active space, and attracting average margins broadly in line with the rest of the book of business. And as you can see from the chart on the left, we've more than doubled both gross and net flows into products other than GARS over the past three years. Despite the challenging environment, in 2016 we saw gross inflows into those products increase by 30% to GBP17.5 billion, with strong net flows of GBP3.7 billion. And on the right-hand side, you can see that we delivered strong gross net inflows in areas such as other multi-asset, fixed income, private equity and MyFolio. MyFolio has now broken through the GBP10 billion mark of assets under management. So our long-term diversification agenda is clearly delivering. Let's turn now to our workplace and retail channels which continue to attract steady and resilient net flows. In 2016, these amounted to some 7% of opening assets and were also boosted by the acquisition of Elevate and the GBP11 billion of assets that came with it. Our total AUA is up an impressive 33% year-on-year, breaking through the GBP100 billion and up from just GBP45 billion five years ago. In terms of a bit of color, we continued to sign up new auto enrollment schemes, around 8,000 in total, and that has increased our regular workplace contributions to GBP3.1 billion per annum. Now these are very sticky and very steady flows and they now constitute about 75% of our gross flows into workplace. And as the minimum contribution rates in auto enrollment increase in April 2018 and then again in April 2019, we expect that to perpetuate the ongoing growth. Furthermore, our workplace business continues to feed assets into our retail business, some GBP2.2 billion in 2016 alone, GBP9.3 billion of which went into drawdown. And in total, we've now grown our assets in drawdown by 21%, to GBP16.4 billion. In retail, our award-winning Wrap platform continues to attract strong net flows. And in 2017 we expect our already leading market position to be boosted by acquisition of Elevate, itself another award-winning platform. Now as we've indicated previously, the total cost of acquisition integration for Elevate will be in the order of GBP100 million. That is a little over GBP30 million for the acquisition and the balance for the integration. As we said before, we expect that to take about two years. And by the time we finish, we have turned around a business which had been losing close to GBP20 million a year, into a business making a profit of a similar amount, largely through cost reduction and we're already making progress in that direction. The second component of our business model is also delivering. In 2016, we grew revenue by 5%, with growth channel revenue up 10% whilst fee revenue on our mature books was 8% lower, impacted by lower performance fees down GBP40 million, as well as lower premium-based income in Europe. That said, our mature fee business in the second half was 6% upon the first half, off the back of market movements in FX which also helped drive closing assets in our mature books, up by some 8% versus opening AUA. And over time, revenues from our growth channels, the dark blue bars on the left, are up over 70% in the past four years whilst revenue from our mature books, in the light blue bars, has remained relatively constant, boosted a little by the Ignis acquisition in 2014. In terms of revenue margin across our growth channels, we continued to see little pricing pressure. And that comes through in the stable margins on the right-hand side of the chart, with a small year-on-year movement being up 1 basis point for both SLI and workplace, and down 1 basis point in retail. And I say the small moves we do see are a function of mix, not of pricing. By channel, we expect SLI third-party revenues to remain stable in the low 60 bps. Workplace has stabilized as a function of our success in the auto enrollment markets. And retail margins are supported by increasing volumes of drawdown and the build out of 1825. Now it is worth noting that the Elevate pricing, as we said before, is lower than our own Wrap pricing. So all other things being equal, we can expect the average retail yield to drift down by about 2 basis points in2017. Turning to spread risk margin, as I said earlier, it's only 5% of our underlying income comes from spread/risk activities. As announced at the half year, we had a one-off gain of GBP22 million from changes to the scheme of demutualization arising from the adoption of Solvency II. We'd guided ALM activity to be down from GBP30 million last year to around half that this year. But as it was, we took advantage of periods of market volatility to generate GBP25 million of income, so only down GBP5 million in the end. But, once again, we would guide towards up to GBP50 million of ALM activity in 2017 although, as in 2016, that will be very much subject to market conditions. Finally, on this slide, the negative other of GBP26 million is made up of a host of small items. The most notable being related to negative mortality experience in the year of GBP8 million. The third component of our business model is our focus on lowering unit costs, where we've previously articulated a commitment to see the cost/ income ratio trend down to below 60% over time. On the left is the result of our efforts in 2016, down 1 percentage point to 62%. That improvement is after the drag from taking on Elevate and building out 1825, our advisory proposition. In part, that reduction has been achieved by strong cost discipline in SLI, as we responded to the challenging market conditions over the course of the year. On the right-hand side, you can see we've broken out Elevate and 1825, excluding which you can see that our underlying costs are up just 2%. And let's not forget that that 2% includes a significant ongoing investment in other aspects of our business beyond 1825 and Elevate. And if you put all that together, we've driven an 11% increase in our fee-based performance. Within the second and third bars, you can see a drop-through rate for – between revenues down to profits of over 60%. And that's the GBP64 million in blue versus the GBP24 million in grey. It's a sign of our financial discipline and operational leverage in our scalable business and proving that we are delivering results. If we look back over five years, we can see that our fee revenue has grown by 60% to GBP1.7 billion, driven by near doubling in our fee revenue from our growth channels, now standing at GBP1.2 billion. And that revenue growth, combined with our scalable business model, has fueled a three-fold increase in profits from our fee business, which now stands at almost GBP600 million. And it's this fee business growth that is the driver for our underlying performance more than doubling to GBP681 million. Let's look now at how this breaks out by business units. I'll go into SLI and UK pension and savings in more detail on subsequent slides, so let's just deal with other minor items before moving on. In Europe, we saw a GBP4 million gain on the move to Solvency II, together with GBP5 million of positive experience in the year. In combination, they helped drive profits to GBP39 million. But the Solvency II gain will not repeat and we do not presume to gain from positive experience. So over the medium term, we'll continue to guide towards the GBP30 million profit level for Europe, although this is a market where we do see good long-term growth opportunities. Our associates and joint ventures included on the slide here are our life businesses because we include HCFC Asset Management within SLI. And you can see underlying performance is up over 60%. HDFC Life benefitted from both our stake increase from 26% up to 35%, as well as us growing underlying premium income by 18%. While in Heng An Standard Life, our Chinese joint venture, sales were up 39%, helping to drive increasing profitability. And in both of these markets we see strong growth opportunities going forward, given both demographic changes and the nascent pensions markets in each of those countries. Turning to our major business units, in SLI we've grown assets by 10% to GBP278 billion on the top right-hand corner. And fee revenue is up GBP42 million, a 5% increase. Our discipline in pricing and focus on new-active investment solutions has enabled us to lift revenue up 1 basis point to 53 basis points, three-quarters of the way down the right-hand side. And importantly, through the effective integration of Ignis and strong cost discipline, we've delivered that target EBITDA margin, as Keith said, of 45% a year ahead of our original guidance. Now, as we said before, we don't expect revenue yields to go any higher. And alongside our ongoing investment in growing the business, it means we maintain our previous guidance that the EBITDA margin should track in the low- to mid-40 basis points going forwards. Finally, across the bottom of the slide in the yellow dots, our short- term investment performance has been mixed. Although it remains strong at the all-important three- and five-year time horizons that our focus on change methodology targets so effectively. In our pensions and savings business, we've grown total fee AUA up by 23%, in part through the acquisition of Elevate, in part through sustained strong net inflows into our growth channels and in part through favorable market movements. And that is despite the long-term runoff of the mature books of business within those figures. Again, good pricing discipline and a more favorable mix of business, including the success of things like Good to Go, the build out of 1825 and things like Tick to Switch has allowed us to maintain the average revenue yield across our growth channels, with the overall total coming down by just 1 basis point. The proportion of fee assets from growth channels has increased from 69% to 74%. While the headline cost to income ratio, in the bottom right- hand corner of the slide, has nudged up from 59% to 62%, if you exclude the impact of our start-up activities in 1825 and Elevate, the cost to income ratio of our underlying business has remained largely flat and would have come down if not for the reduction in spread/risk margin. Keith will touch on some of the initiatives we have in place to continue that downward drive when he comes back to speak in a moment. When it comes to balance sheet, we continue to run a strong solvency surplus. Now, as we explained back in August, we focus on the investor-view of capital, which eliminates dilutions arising from the anomalies within the Solvency II framework. Now we've repeatedly said that, given the fee-based nature of our business, that our surplus was relatively insensitive to markets. And that's demonstrated in the result, unchanged year-on-year at GBP3.3 billion and a ratio of some 3%. From a pure regulatory perspective, much of the capital that we previously did not recognize at Group is now recognized, off the back of our work to agree methodology changes with the PRA, together with changes to the Companies Act that recognizes the Solvency II regime. And as a result, we've increased our regulatory surplus view by GBP1 billion, to GBP3.1 billion. The lack of volatility in our surplus is demonstrated here. When we apply the same univariate stresses that we've used in previous reporting, the surplus is stable across a wide range of scenarios. You can see it moves by a maximum of GBP200 million in the second blue bar along which is equities down, and in the penultimate bar on the right-hand side which is a reduction in mortality rates. So as we've said, we believe it's very stable. However, as we've also repeatedly said, regulatory cap is not a constraint on us. Our focus is on cash generation. It is cash generation that funds reinvestment in organic growth. It is cash generation that funds inorganic growth. And, importantly, it's cash generation that underpins our progressive On the left, we show that we tripled the cash generated in just the past six years, now breaking through the GBP500 million mark. And as you would expect from a fee-based business, our cash generation is closely aligned to our IFRS earnings. On the right, our plc level liquid reserves at GBP0.9 billion remains strong, down a little on 2015 primarily because of our stake increase in HDFC Life. And it's the strength of our cash generation and the strength of our cash reserves that, once again, enable us to increase the dividend by 8% for the full year to GBP 19.82 per share. That gives us an unbroken record of a decade of progressive dividends and confidence that our fee- based model should enable to maintain that policy going forward. Thank you, and Keith, back to you.
Keith Skeoch: Thanks, Luke, so despite all the headwinds that buffeted the industry and the market in 2016, we continued to deliver growth in assets, revenue and through our increased financial discipline, profits. That was most visible in our growth channels that increasingly drive long-term value at Standard Life. Our strategic focus, I believe, has positioned us well to benefit from global trends we see shaping the savings and investment market. The big four trends I identified a year ago, have, if anything, intensified and reinforced, I think, three important elements of Standard Life's strategy. First, Standard Life's purpose: to invest for a better future to make a difference for clients, customers, our people and shareholders. Second, the importance of innovative investment management and our new active componentry, at a time when I think active management's going to become more important. Finally, the importance of a global approach. We need to compete at home with world-class technical difficulty.
Operator: Apologies, ladies and gentlemen, we seem to have lost connection to the line. Please stand by while I reconnect them.
Keith Skeoch: Profit and deliver value for shareholders. And actually, a promising future for our people. So we will continue to invest in diversification and growth, by broadening and deepening our investment capabilities and attracting and retaining talented people. We will continue to improve our financial discipline, by building an efficient and effective business. So we will continue to grow, but also diversify our sources of revenue and profit, by ensuring the strong relationships we develop with clients and customers are right at the center of everything we do. That's how we'll improve the resilience and sustainability of our capital-light business model. So Over the next 10 minutes or so, I'm going to look at each of these strategic priorities in turn, so I can set 2016 in its strategic context. We're making good progress, I believe, on deepening and broadening our investment capability. As you can see from the chart on the left-hand side, we continue to roll out a suite of new active funds throughout the risk/return spectrum. We launched 16 new funds in 2016, including the SICAV version of MyFolio for the German market. We have a good track record, not just of extending our product range, but also commercializing it. So if you look beyond the GARS outflows of GBP4.3 billion for a moment, we saw net inflows of GBP3.7 billion from elsewhere in our product range. And indeed, if we went to look back as far as 2012, we've attracted gross inflows of GBP58.3 billion in funds other than GARS – 150% increase over the previous five years. But another way, GARS accounted for 40% of gross flows in 2013, its peak. In 2016 it was 26%. So there's evidence, in my view, that the investments we've been making in diversification are paying off. For example, we've attracted GBP19 billion into the new active funds we've launched over the last six years. More importantly, these funds have an average revenue yield of above 50 basis points that allows us to maintain our mantra, a premium product for a premium price – a key part of our financial discipline. Ensuring we have an innovative pipeline to meet changing client needs has been the bedrock of our diversification agenda for some time. And we saw the benefits continue to emerge in 2016. I say continue, advisedly. And that's because, as I've said many times, the product cycle in asset management is a lot longer than people think. It can take up to seven years to get full scale in terms of profitability, so you can reinvest in the rest of the business. Have a good idea? Two to three years to develop a track record. Years three, four, five, you'll see flow. Years four and five you'll generate profitability. Years five and six you get payback. By year seven you have enough scale to be throwing off profit to reinvest in the business. So little surprise, if you look on that slide that the bulk of the 19 billion is from product that was launched five and six years ago. I would expect momentum to continue to build over the next couple of years in the new active funds we have recently launched. And I think we will make progress in private markets, the insurance segment of the market, and we'll continue to build out our integrated liability-plus solutions. But let there be no doubt. I and the team are equally focused on the other component of financial discipline, driving down unit costs, to unlock the operating leverage inside a world-class investment company. This focus ensured the early delivery of the 45% EBITDA margin associated with the integration of Ignis. With the acquisition of the Elevate platform complete, the integration of the platform and the business is under way, and we will apply a similar focus to the delivery of both the strategic and the financial benefits. So far, actually, so good. Business has been good, with better-than-expected flow and better-than-expected asset levels. But we will also continue to search out greater efficiencies across the rest of our business. We are streamlining our customer operations through the continued use of automation and straight-through processing. We continue to make progress on the reengineering of our legacy IT systems. As we build an efficient and effective business, we will push our cost/income ratio below 60% in the medium term. Now, investing in our diversification agenda and improving our financial discipline requires, not just focus, but high levels of cooperation and collaboration throughout our organization. World-class companies have world-class people, and they need to invest in their talent. And Standard Life Investments and Standard Life are no different. We have made, I think, good progress in 2017. Our strategic delivery, in part, reflects increased cooperation and collaboration across the Group. Our engagement scores did improve, especially on respect and recognition, which suggests our efforts to improve diversity are being recognized. We also have made progression, I think, on the world-class front. Our sponsorships can speak for themselves. One of the things that I and the team are particularly proud of was the fact that the Boston office was named as the best place to work in the United States for a medium-sized asset manager. No mean feat, when you look at the track record of most UK firms operating in one of the toughest markets in the world. So our particular blend of global and local, I believe, augurs well for the Singapore and Tokyo offices that we opened in 2016. One area where we expect to make a good deal of progress in 2017 is across the distribution teams at Standard Life. Colin Clark has been leading the drive to greater levels of cooperation, collaboration and improved efficiency across our distribution networks, to help even stronger relationships with clients and customers. So whilst 2016 undoubtedly brought its challenges for active managers, we actually continued to see strong levels of activity, where, either through pitches or RFIs. And a notable beneficiary of that activity has been our broad multi- asset offering. And that's already resulted in a new partnership with Challenger, announced a week ago. Challenger is a major Australian post-retirement house. The partnership with Challenger comes on top of the benefit that we're receiving from the partnership with Bosera, which was announced earlier in 2016. So we have an increasing global presence. 29 locations serving clients and customers in 45 countries. And our increasingly well-diversified customer and client base is a major strength for Standard Life. I think as 2016 illustrated, clients and customers react in different ways to the same set of events. That was clearest in our pensions and savings business. Consolidation is accelerating, low interest rates and historically high transfer values are triggering increased activity by wealthy individuals, and they're moving from DB to DC, to take advantage of pension freedoms. The advice market is now almost totally platform-based, and we are a clear beneficiary, because our Wrap and Elevate platforms lead the market and serve over 3,000 advisor firms. We also continue to see regular and predictable flows into workplace. We've also enrolled more than a million employees since 2012. Interestingly, we're also seeing some evidence that – that so-called pensions fatigue is ending. And it's pleasing that even the biggest schemes appear to be impressed with the breadth of the functionality that Standard Life can offer. It might be too early to claim a major change in client attitudes, but it does feel like the workplace pensions market is changing in a way that plays to Standard Life strengths. So, as Luke and I have said many times, the benefits of our strong relationships are most visible in the growth channels that drive long-term value. Here, assets grew by 20% to GBP137.6 billion, and represent two-thirds of assets under administration. More importantly, fee-based revenue rose 10%, to GBP1.2 billion, and that is 73% of total fee-based revenue. Furthermore, as you can see from this chart, revenue is well-distributed across our four largest channels. The largest channel, institutional, represents GBP360 million out of GBP1.2 billion, so around about 30%. Wholesale and retail are around 20% each. Wholesale, of course, was where we experienced the bulk of GARS outflows, GBP3.9 billion of the GBP4.3 billion. But note that total outflows were GBP1.7 billion, only 4% of opening assets, as we continued to see inflows into areas where we had good performance, in particular, MyFolio and GILB, global-index-linked bonds. It's also, I think, quite important to note that not all channels are as sensitive to short-term performance as wholesale. The institutional channel, where we saw positive inflows, we saw positive inflows in five out of seven asset classes. That reflects the strength and depth of our ratings from consultants. So one of the great benefits of our well-diversified business and strengthening relationship with clients is the stability of our revenue yield. The investments we have made in diversification and growth, together with our improved financial discipline, is delivering well-diversified growth across our business. The strength of our growth channels, which you can see on the left-hand side, is offsetting the runoff in our mature books. This is a feature I'd expect to persist over the next couple of years. We also get diversification benefits from our life associate and JVs, which you can also see from the chart on the left-hand side. These now account for 10% of operating profit and we'll see further progress when HDFC Life is able to merge with Max Life. So, in summary, 2016 was a year when, once again, Standard Life increased assets, grew revenue, lowered unit costs. We generated a 9% increase in operating profit, and cash flow to support our progressive dividend. Our strategic focus has helped us make good progress in delivering a world-class investment company. And that's where the focus that I and my executive team, will remain in 2017. When it comes to targeting investment and diversification and growth, I can ensure you, we're as focused as we ever were on investment performance. Investment performance is recovering, and that does include GARS. We are due to launch around about 12 – a fund a month in 2017, and we'll probably get the 16 number again, as we continue to build out private markets and integrated liability-plus solutions. Focusing on driving cost efficiency? You should be in no doubt, absolutely no doubt, we are very firmly focused on delivering a cost/income ratio which falls below 60% in the medium term. Strengthening long-term relationships with clients and customers. Well, it started, I think, pretty well, in 2017. Better than expected flows on the Elevate platform. Better retention. And of course, we've announced a new relationship in the post-retirement market down in Australia. Making world-class our standard. I think 2017 has also started well. Very dangerous to extrapolate from a single month, but so far, reflecting markets, reflecting the pick-up in performance, we have seen positive net flows across our business. I can assure you that rather than focusing on the long-term, that my focus and that of my team will remain on delivering for customers, clients and shareholders. Thank you. And with that, Luke, Colin, myself, the executive team, and particularly Paul, will be more than happy to try and answer your questions. Thank you.
A - Keith Skeoch: Jon. I think the mike will come around in a moment. I'll go in the center, move over here, and then move – Jon.
Jon Hocking: Thank you. Morning. It's Jon Hocking from Morgan Stanley. I've got three questions, please. Firstly, on performance, can you update us on where GARS is tracking versus benchmark? And also the funds you highlighted on the slide that are relatively recent launches, how are they tracking relative to their respective benchmarks? That's the first question. The second question, what are the – you seem to be adding a lot of complexity to the platform, given the number of fund launches. Is there a negative cost implication here that you end up with a cluttered platform and actually distribution finds it hard to focus on your best product? And then the third question, what are the potential cost implications of MiFID next year? Thank you.
Keith Skeoch: Thanks. GARS is actually tracking reasonably well, but with Rod in the front row, Chief Investment Officer, I think it's sensible for Rod to pick up the questions on performance.
Rod Paris: Yes, the – can you all – you can hear? Yes. The first one was in terms of GARS performance. It is actually tracking well. In effect, we've been raising our risk levels, post Trump, and I think we're seeing the return to more fundamentally-driven markets, which actually plays to our focus on change philosophy, which is a fundamentally-driven philosophy. So that is definitely starting to come through, I would say, in performance not just of GARS, but across the entire franchise. I think these markets are much kinder to, as I said, active, fundamentally-driven approaches. I think, going back on GARS, we ran quite low levels of risk, actually, going into Trump, as you might imagine, at that stage, and I think only now we're starting to see those risk levels getting back to an area where we will start to regain our performance momentum. You asked, I think, a very pertinent question about performance as it's impacted some of our new active solutions. And there I'm actually pleased to say, performance is actually very – it's holding up very well, from 2016 and into this year. That would be around a lot of our absolute return bond funds, which are selling well. Our total return credit. Those sorts of activities, which have played to, if you like, volatility controlled new active solutions are very much on target and are performing.
Keith Skeoch: And that's precisely what the relationship with Challenger is about. An interesting question about the complexity of the platform. One of the great things that we've done over time is built an effective and scalable platform, so these funds do not bring massive additional cost in terms of the delivery of the administration behind them or the manufacture of a new wrapper. Whether it's institutional or wholesale, we're already manufacturing in most of the key wrappers around the world. So marginal costs are relatively light, and fully worked into, clearly, our business plans for those new product launches. Costs of MiFID, I think are, in terms of man hours, quite expensive, given all the things that we need to do. We're on track. There's a little bit of MiFID that has to be completed. I don't think MiFID is going to have a meaningful impact on the cost profile at Standard Life, Standard Life Investments. It's something we can easily cope with. Right, Ravi. Then, Oliver.
Ravi Tanna: Thank you, it's Ravi Tanna here from Goldman Sachs. I had three questions, please. The first one was on your reference to the EBITDA margin from SLI, which I think you – correct me if I've misheard, but I think you've referenced low to mid 40s. And I wanted to understand a bit more about how you plan to get there or what the moving parts are. Clearly, the Group cost/income target is to come down below 60%, and so I just wonder, have we exhausted the cost reductions within SLI, or is this more a statement around declining revenues, margins, going forward? The second one was just around Elevate and if you could perhaps talk a little bit about how it the advisor market has responded since that acquisition? And generally, what experience you've had there? And the third one was just a clarification, really. On the annuity provision that's been taken, if you could give any sense around pending sensitivities to that GBP175 million, and what's assumed in that calculation? Thank you.
Keith Skeoch: Okay, so why do you did the Paul, if you do Elevate and then Luke, the annuity question. The guidance on the EBITDA margin at Standard Life Investments is relatively straightforward. We don't think it's structurally going to get any higher, because we don't think the revenue yield will structurally get a lot higher. There'll be some years when actually it could bounce a little bit above, because markets aren't benefit – favorable and beneficial. There may be other years when markets are more difficult, or we need to accelerate investment in our platform. But by and large, I think what we're trying to signal is it'll oscillate somewhere around current level. So some years it'll be lower, some years it may be a bit higher. So I think that's specially we are. Paul. Elevate. Elevate's gone exceptionally well, actually. I think one of the things the AXA advisors themselves have been impressed with, as well as the IFAs, is we've got a greater investment choice, so they get far more range of investment options. And at far better pricing than AXA managed to negotiate. They have greater functionality options, now with both Wrap and the Elevate platforms, so they've got more choice. They have greater support and we expect it to go about GBP1 billion less than we got. We got GBP1 billion more to come across. We thought some would flow off with the purchase, and we had expected probably negative outflows to start with, because some of these IFAs traditionally haven't dealt with Standard Life. We did think it might be some issue about the ownership, but in fact, we've had very strong inflows. So I think the whole financial stability and the whole support around what we provide has been much better than we had anticipated.
Luke Savage: And then on margin sensitivities, probably the easiest thing for me to do is to refer you to the annual report and accounts, page 175. We list out there all of the key assumptions and a table with the sensitivity of those assumptions in there. So rather than me reading it out, page 175.
Oliver Steel: Oliver, One of your key tenets is rebuilding trust in financial services, but the FCA seems to be doing quite a lot to actually kick out at the margins being taken by fund managers at the moment, so I just wonder if you're seeing any impact from that at all? Or how you're thinking of that, and particularly, you're making quite a strong case for active fund management, whereas actually, they're making a strong case for passive, it seems. Secondly, what percentage of the GARS outflows are you actually winning back in some of the new funds? And then thirdly, perhaps, Luke, could you just remind us of the transitionals? I think I saw GBP1.5 billion of transitionals? Is that all relating to the annuity book, or is there something else on there?
Keith Skeoch: Okay, I'll do the trust question. Colin, if you can do the GARS and then Luke obviously the transitionals. We're not – you can see from that launch of new products, we're not actually seeing any impact on revenue yield. So it is absolutely clear to us that in the market, clients and customers will pay for the combination of performance and innovation. There was a survey a few years ago that looked at – I think it was about 400 fund buyers, and they made exactly that point. Price is a bit further down on the list. I think where the FCA is having a go – and quite rightly, in my view, is where there's lack of transparency, where there are oldcloset index or benchmark plus, and they're big, high commodity funds and they're still charging active funds and they don't have an active componentry, then that's going to come under pressure. That's just not simply the business we've been in, nor is it the set of funds that we're launching. So we're not seeing any pressure. Colin, on GARS.
Colin Clark: Yes. I think it's in its early stages, now that we're increasing the multi-asset platform to include more, different products. And we are benefiting from some switching from GARS, as you allude to. I think two examples that spring to my mind in the last six months – one of the interesting things we've done is we've taken GFS to the US marketplace, in the Cayman structure, and one of our bigger clients in the US that had a large exposure to GARS was actually seeded that Cayman fund through the switching, from one to the other. So they're looking to rebalance portfolio or reblend their portfolio, now that they have an exposure to LIBOR plus 5, and now LIBOR plus 7, in the shape of GFS. So that's happening. Another good example, I think that's just beginning, in the last six months we've launched the integrated liability plus solution in the UK market, which is our response to defined benefit plans that want to hedge or derisk. And I think a number of the clients in the UK institutional market in DB plans that have had GARS exposure for the last 7 to 10 years, are looking now to switch out of that into ILPS. So another example of where that switching is taking place. The first example is about reblending in multi-asset. The second is about switching into something that's more appropriate for a derisked scheme. In terms of the actual pounds number, I'll come back to you on that.
Luke Savage: Yes, then in terms of transitionals, yes, predominantly to annuities. It was recalculated at the year-end off the back of some model changes we got approved during the second half of the year. And we've also taken the first annual deduction, which, as you go – as it winds down over 16 years, we've effectively taken off one-sixteenth, which, technically, we could have waited till 1 January. So if you're trying to compare us with others, you need to look at what date. The day they recalculate their transitionals and have they not taken that deduction?
Unidentified Analyst: Hi, good morning. Just three questions. First of all, can you give us some clarity on UK cost? It went up around GBP12 million, which you flagged as around 2%,3%. Is that sort of a cost level increase in UK pension business that we should expect? Because I remember, in past, you were saying that you were trying to maintain it on a flat or an absolute cost basis. So any thoughts on that? Second thing is flows into workplace pension and retail was relatively lighter compared to last year. What's going on there? Because it should be a bit higher, given the growth in the asset side. And thirdly, any color on cross-selling from your pensions flows into MyFolio into SLI? Thank you
Keith Skeoch: Okay, Luke, do you want to do UK costs and then Paul can take up the other two?
Luke Savage: Yes. I think the historic UK costs is that we have been building out the 1825 proposition. We said that as we build that out it's initially loss-making, so that adds to the cost. And we've also taken on Elevate, and within the cost base for Elevate, we've both got a couple of months of operating costs plus some of the costs in the run up to that acquisition closing. If you look behind, at the underlying business, for example, the running costs of our back book over the course of the year have gone down 5%. Some of the indirect costs of running our technology across the pensions and savings platform generally, that Keith alluded to, a multi-year program, we took out – I think it was 90 heads in 2016, out of our technology team, off the back of some of those initiatives coming through. So in the short term, depending upon timing of programs and where things like Elevate costs come through, you do see some bumps in the road or some noise. But we're confident the underlying trend is downwards.
Paul Matthews: I think I got the question. Was that less flow through in workplace you were looking at? And whether –
Unidentified Analyst: [indiscernible]
Paul Matthews: Okay, so on the workplace side we've seen still the regular premiums through, so regular premiums are coming through quite less single premium lumps of business come across. We're starting to see a number of enquiries this year, but for last year we didn't see as many lumps come through as the previous year. I've said the regular premium – regular premium was up in workplace. In the retail side, again, it was impacted a bit by retail and workplace on pensions freedom. So we've seen a number of people taking tax-free cash. So in some areas here, where people are exercising their pensions freedom monies, they are taking some of their tax out. If you take things like Wrap – Wrap net flows, etc., I think the last statistics I saw were something like 50% up on any other company, if you combine all of the net asset flows on to Wrap. We would look pretty strongly when I think you see all the results. And the other question, I think, was –
Keith Skeoch: Cross-selling.
Paul Matthews: Cross-selling into SLI funds. So, to give you an example, in Wrap, something like 20% of our funds on Wrap would go into MyFolio. I was looking at some figures the other day. I think there's something like, of the – we've over 200, 000 customers on our Wrap platform, and we've got something like 142,000 of those will be in MyFolio type propositions. The cross opportunities for us with Elevate is a good example. Elevate, typically, have had around 2% of investments with Standard Life Investments. Already the account notes that come across with them are now seeing the opportunities that Standard Life Investments offers, so I think there's quite a big opportunity for us to offer the clients of Elevate far greater funds capability of our Standard Life Investments. It's a good opportunity there.
Andy Hughes: Hi. Thanks very much. Andy Hughes from Macquarie. I've three questions, if I could. The first one just some clarification on capital. The GBP100 million recovery, if you get it, presumably that, net of tax, would just be added to the capital Solvency II position. It's not – you'd not include that in the capital, so that would be a one-off benefit when you get the insurance recovery. And then, if I understand correctly, on page 53, capital in India, so if you were to progress the Max Life merger and ultimately sell your shares, the 90 p or so you'd get back would be all capital. There'd be no – because there's nothing – there's no credit in the Group capital now from India Life. And I guess the really about how we should think about GARS. So, obviously, GARS outflow has picked up in Q4. We can all see that. And you're distinguishing between the wholesale parts, which is the retail part, and the institutional part. I'm just curious. Absent any recovery in GARS performance, which may happen, as you've highlighted, how we should think about the GARS flows, going forward? Should we think of the institutional as a relatively sticky part of GARS? And should we think about the wholesale as a less sticky part, which is where the – so effectively, the pattern of outflow should slow down over time, as the wholesale bit runs off faster? If things don't change. Thank you
Keith Skeoch: So if Luke takes the first two, and then what sounds like a piece of very complex guidance, Colin.
Luke Savage: Yes. On the insurance point, you're right. We taken any credit for it. If we do recover that will come to us as a credit through non-operating. That will translate into cash and that will flow into capital. On India – India is on our books at cost. I think it's a little pre-emptive to talk about selling our shareholding in a joint – in a combined entity, where we're still working on getting the regulatory approvals. But technically you're right in terms of how that would flow through. Though perhaps a little premature.
Colin Clark: You make a couple of points, interesting points. The first thing is in terms of institutional outflows towards the end of last year, I should note that we categorize the John Hancock relationship as an institutional relationship. That's the way we manage it. That's the way we handle it and that's the nature of the relationship, but clearly, some of the flows have the characteristics of retail. And so I think in that sense we're slightly understating the strength of the institutional picture on GARS. I think, to your second point, I think the institutional franchise is very strong generally. We've got very strong consultant support, not only across the board. We've got 22 products that are categorized as buy. And within the multi-asset suite, we've got four buys and six holds from investment consultants. So I think there's a lot about that institutional franchise that is very stable and is very strong. And as we see recovery, I think we're already seeing it, in terms of the nature of the client relationship discussions we're having, as we're starting to see some stability come back into the performance and some improvement in the performance, I think that franchise ought to move forward quite well. I don't think we're at all planning – or see the world in the same way as you're alluding to, in terms of wholesale outflows. I think last year the vast majority of the outflow was to do with the wholesale retreat. We see that stabilizing, and combining that with a stabilization of investment performance in GARS, I think we could see the wholesale exposure, both in the UK and elsewhere around the world, start to recover. Whether it's going to go back to the heydays of where we were 18 months, 2years I don't know. But we're starting – I think we're planning on seeing some sort of stability and recovery in that market as well. So clearly, much more sticky and institutional, clearly well-endorsed by consultants, and a recovering picture in wholesale, I think.
Keith Skeoch: Sorry, Andy. Andy Sinclair.
Andy Sinclair: Okay firstly, it's on India, which has become an increasingly important part of valuation, but a relatively small portion of the update today. I just wonder if you can give us any update on the merger process, how things are going along? And finally, if you could say how much of a lock-up there would be, after the merger completes? Second point was on the development expenses. You mentioned that these have been reducing year-on-year. Just wonder if you've got any guidance for that going down further in 2017 I mentioned some development IT costs that might be coming through. And third and finally, I realize it's a small part of the business, but on the spread risk book you mentioned an adverse mortality experience of negative GBP8 million. I was a little bit surprised, I thought that most annuity writers were seeing positive fatality experience at the moment. I just wondered if you could give us any update on what you've seen that might be different there.
Keith Skeoch: Okay, if I do India. I spoke to colleagues in India two days ago. We are waiting for the approvals to come through for the structure, which will allow the merger of HDFC Life and Max Life, to come through. We've always said that getting regulatory approval in India is a long, slow, sometimes tortuous process, and it's living up to expectations. My colleagues in India tell me there's nothing to worry about. It's on track. Luke.
Luke Savage: Expenses in 2017 – we have a lot of moving parts and investments and so on, which is why we have not and now are not giving specific guidance for any one year and why we talk about driving cost/income ratio below 60% in the medium term, recognizing that it isn't going to be a straight-line reduction, and we're going to stick with that guidance. On the mortality point, there's a difference between the experience we've seen in the year, which was GBP8 million negative, versus assumption changes looking forward, which was a large part of GBP42 million positive. So in terms of the overall longevity expectations, we are, I think, in line with the market in seeing positive numbers coming through. The in-year experience is largely a function of particular policies during the year, and it's amazing how a few people, with high annuities and – or high life cover, can actually shift that number within a year.
Andy Sinclair: So just one final point, going back on India are you able to say what sort of lock-up there would be, after the merger completes?
Keith Skeoch: Oh, sorry. Yes. There's a lock-up on the 9% that we acquired, to take us to 35%, and I think, Luke, that lock-up's three years?
Luke Savage: Yes. Interesting, the proposed merger structure – so that hasn't been envisaged in any of the regulation, so it's actually not quite clear over the run of the merger what lock-up that will create. So once the approval comes through – assuming the approval comes through as we expect, there is then a point for us to clarify how the rules get interpreted around that lock-up period.
Gordon Aitken: Gordon Aitken from RBC. Three questions, please. First, just a follow-up on the mortality point. You're now using CMI 14. You were using CMI 13. You're already coming from a more prudent place, the UK life stocks who last year were using CMI 14. Now when you move to CMI 15, that's got a four-month drop in life expectancy. Move to CMI 16, when it's published, that's going to be another three- month drop. So should we expect another positive in 12- month’s time and then another positive in two years after that? Second question for less than two weeks away. What do you expect the Chancellor to say? And finally, for Keith, you mentioned active fund management you feel will now become more important. I just wonder how to square that with the interim asset management study. The FCA seemed to have a problem with all sorts of areas in fund management. And what effect do you think that survey and the FCA will have?
Luke Savage: On the mortality, I would perhaps refer you to Jonathan after the meeting for the detail, but we don't just use – I know some of our peers just go straight to the tables. We don't. We have our own cause of death model. Mortality improvements that come through in those tables are just one of the inputs to that model. And we believe that our modelling approach is prudent. So if you get a sudden jump from one table to the next, it's unlikely that you'll see all that come through in our numbers straight away, because we are – we're being prudent. But I wouldn't want to say any more than that with adding becoming full guidance.
Paul Matthews: On the budget, we're not expecting a huge amountI mean, there have been signals that they're going to give us an update on pharma. So I think on the whole area of advice and guidance, we're expecting to have some clarity as to the sales process of how we might be able to go forward with providing more information on a simplified guidance approach versus an advice approach. But other than that, I don't think we're expecting too much at the moment.
Keith Skeoch: On the asset management review a couple of takes on that. I think they're quite rightly asking people to make sure that where you have active management, that – and you're charging a premium price for a premium product – you get that in place advisedly. Get that the wrong way around you've got problems. So all I can say is the contact we have continue with clients and customers, is as long as you're innovating, as long as you're doing things to meet their liability and their changing needs, then you can price that appropriately. And of course, you need the innovation and the performance in the right place. So if there's an increased spotlight on that, I actually have no problem at all with that issue. The other thing the asset management review is focusing on is the governance of some of the mutual funds and pointing out that they need also to be focused on customer benefit. Now, for those that are familiar with what went on in the United States, there was a large leap from active to passive because the DOL legislation said that you had to demonstrate a fiduciary duty of care. And actually, quite a lot of IFAs in the United States did that by basically moving the same way as everybody else. And that generated an increase in passive. One of the things that Trump is talking about rolling back is precisely that DOL legislation. So it will be quite interesting to see whether he does that and actually whether that starts to have an impact in the UK. The one thing I can say is whether it's our SICAV funds, whether it's our OEIC funds. We already have mutual fund boards in place that take really seriously their fiduciary duty of care to the customers in our mutual funds range. So yes, it raises issues but it's life and you need to get on with it. I actually think that the more volatility, the more clients will actually start to want, as Rob said, absolute return volatility dampening solutions. And our experience is – you can see from the GBP19 billion we've launched that actually clients are quite attracted solutions.
Gordon Aitken: I can just follow up with a few words about Paul. It's not often in our sector that we have the benefit of someone on the podium with your sort of years of experience. And I'm not just talking about reading about insurance among and people who do it. But you've worked right through the it and it's been a huge benefit to us. I've been lucky enough to work with you and I particularly the credit crunch period where financial services companies were getting a bashing. And the work you did with the customers of Standard Life but also more importantly the people, enabled Standard Life to come through that period even stronger. So I think on behalf of all the analysts here just to wish you all the best in your retirement.
Paul Matthews: Thank you Gordon gentlemen.
Colm Kelly: Hi, Colm Kelly from UBS. Thank you for taking my question. Just on GARS and you talk about the strength of pension consultant ratings which obviously are the key determinant to institutional flow resilience for the fund. Can you – just in the context of one large consultant changing their rating in the second half of last year, can you give us some color on how the broader ratings of pension consultants have moved through the year? And maybe just some color on dialogue that you're having with them vis-a-vis what type of concerns they have or what areas they're confident in? Thank you.
Colin Clark: I'm just looking for my list of ratings. I mentioned that we have 22 across the house. We have four multi-asset ratings and we have six hold ratings. We only had one downgrade to sell last year and that was from an important but not leading – if I can put it that way – not large investment consultant in the UK. And clearly that was disappointing. I think the nature of the conversations that we're having with investment consultants is ongoing. They focus on the things I think that are important which are about people and processes and methodology and risk construction in the portfolio. I think as ever if they have endorsed a product and got clients in that product over a number of years then they want to see a continuation of those processes and people and product. And I think we've been able to demonstrate that and that's why we've continued to enjoy their support. I think as Keith has alluded to earlier, it's a little early to tell over the last three or four months that performance has stabilized. But I think that sticking to our knitting, sticking to our process is definitely to some degree being vindicated. And I don't detect in any of the consultant conversations that we've had that there is any imminent change to that sort of picture.
Barrie Cornes: Morning, it's Barrie Cornes, Panmure Gordon. Just one question really. Thinking about your costing can ration and your PI – potential PI claim. You had one a few years ago as I recall – a very large one as well. Do you think the renewal going forward is going to have a material impact given the likely cost?
Luke Savage: Sorry, I missed the actual question at the end of that.
Barrie Cornes: The efficient indemnity, your renewal going forward having had two particularly large claims.
Luke Savage: Will it have any impact on.
Barrie Cornes: On your cost/income ratio?
Luke Savage: That will be a discussion that we and our brokers will be having with the underwriters.
Barrie Cornes: Is a income insurance so need I just says images.
Luke Savage: They say GBP25 million excess in the policy
Barrie Cornes: Okay thank you.
Ben Bathurst: Hi, Ben Bathurst from Soc Gen. I was just wondering, could you give us your view on what the demonetization impact might be on your JVs in India, the Life and Asset management businesses there? And secondly in the UK, Keith made quite a positive comment about workplace that you said you thought the market was starting to play more to your strengths. I wondered, revenues have been stabilizing there, you think that we can think positively about revenue margins as well going forward or maybe just give some colour on outlook on revenue margins for workplace. Thanks.
Keith Skeoch: Yes, if Paul takes that. Demonetization in India for those that are not aware was this announcement by Modi that suddenly removed some rupee notes from circulation. For those of us that travel to India it was quite a difficult period. You had a load of – wodge – a wodge of money that you could no longer use. Actually I think one of the charities benefitted quite a lot from that. In terms of the impact on the insurance business. In terms of flow, I don't think it's having a major impact. Where it will start to have an impact is that one of the real issues in India has been the constant battle against fraud and one of the things demonetization is doing is creating a competitive advantage with those that are strong adopters of digital technology. And HDFC Life is in the front of that. So when you go and you look at the way in which they sell life insurance now , they will take a tablet and if you have a PAN number, which is a national insurance number, you have a fingerprint and it has a camera. They will get security from that. You can get an electronic signature with ID verification on an iPad and actually it does away with all the issues that people have had to cope with over the years. And actually if you think about that in terms of cost benefit and cost income ratios. Actually it helps have a major improvement. So as far as I can see – and I'm quite impressed with the digital suite of technology at HDFC Life – they should be a major beneficiary. And I think you will see it the life assurance markets there more flow probably gain to the bigger players.
Paul Matthews: I've been sitting here for quite a few years talking about the potential opportunities here. I mean there's GBP900 billion I think in DB, about 40% of that is unbundled. So that means the admin's done separately to the investment. And Keith mentioned there are some enquiries in the market today. I think you'll now start to see now companies are through autoenrollment a focus on costs. I think the cost of running unbundled is high relative to what you can get in the market today. You're paying an administrator and you're paying an investment manager? So I think you will start to see GBP300 billion in DC. The predictions are there will be GBP900 billion in DC in the next 10 years. So I think you're going to see some big lumps and chunks moving. I think as far as margin's concerned, I don't think the pricing is going to change hugely. But I think the cost to serve is going to reduce. And I'll give you an example here. We've taken I think 6, 7000 last few years of autoenrollment. They've all self-served. We have about 28 people looking after that. Over the next two years the work we're doing on simplification of our systems. We’ll be putting around 17,000 employers through that same system and that will be looked after by 10 people So the movement in what we can do in how we service employers is moving well. And the demand I think for large employers to reduce their cost base by simplifying their pension solutions as to the way it's run I think is something the market's been talking about for a number of years. And we're just starting to see a few enquiries at the moment.
Keith Skeoch: Lady up at the back.
Luiza Santos: Hi Luiza Santos Goldman Sachs Asset Management. So a couple of questions. The first one is I was wondering if you'd give some more guidance on the development of the regulatory view of the solvency ratio? So I think you said that a large part of that was due to approval and changes by the regulator. And also are the sensitivities similar to those shown for the shareholder view? And then the second question is just on the development in the AUA. So a large part of that was due to market movements. And I think you said that a third of it was due to FX. Can you give us some clarity on the other? Was that mostly from UK rates decreasing
Luke Savage: On the first point on the regulatory view of the solvency ratio. From our perspective – I've said but I will say it again. We have a strong solvency ratio but it is not something we focus on. It's distorted by a number of anomalies such as the stronger our pension scheme gets and the more asset risk there is in our pensions scheme surplus, the more the ratio gets diluted. So there are a few things within it which are anomalous and end up providing a distortion to any comparison whatsoever strength between us and our peers. It has improved substantially because of the recognition of the capital that was previously trapped down within Standard Life Assurance Limited that we didn't recognize at Group. So whilst the number has bounced significantly, I would steer people away from using it as any kind of measure and certainly looking at how that measure moves over time. If you want to think about any kind of solvency strength, look at the investor view. And our strong preference is that you look at us like you would any other fee-based business and look at our ability to generate cash because that's what funds investment and dividends is on.
Keith Skeoch: The question was about market and if I understood the impacts of currency on
Luke Savage: So currency was about one-third. But off the top of my head I can't haven't memorized the breakdown of the other movements. But that's something which we can give you a feel for afterwards.
Keith Skeoch: I think it's actually – the detail is pretty much in the back of the press notice and in the annual report and accounts.
Andy Sinclair: I don't – the bit I don't really understand about the kind of comments that the 45 – the 45% cost/income ratio so EBIT margin guidance in SLI moderating. Because when I think about SLI’s assets during the year shown on page 21 – sorry the fee revenue. Obviously it grew with markets during 2016. And obviously one of the components in there is HDFC asset management which I'm expecting to grow very rapidly next year as well. Given you've launched these 16 funds last year, is – and you're saying that GARS outflows are going to moderate from the wholesale side , what am I missing? Why are the costs – presumably it's the costs that are going to increase next year in SLI, it's not MiFID two , you've ruled that out? So what's the kind of missing element here?
Keith Skeoch: [Indiscernible]
Andy Sinclair: Okay it is extremely – so I made the point that structurally it wasn't going go much higher. Yes, structurally. As much as I'd love to – and I think I've said this before. It is very, very difficult on a six-monthly basis to control all of the elements that allow you tightly to target any EBITDA margin. What you can get yourself in is the appropriate level and territory. So we – if you look at the 45% EBITDA margin. Is sustainable around those levels? It probably is. But actually for our mix of business, institutional wholesale at Standard Life Investment, that's pretty close to upper – well , it is in the upper quartile, if not the upper decile. So the actual movements are going to depend on the blend of the mix of business and revenue yield that comes in. Will there be a significant disturbance away from that? We think not. We think it's sustainable and it will fluctuate.
Anasuya Iyer: Hi, Anasuya from Jefferies. My first question was just on MyFolio. I think you launched a SICAV a few months ago. I just want to understand if there's any significant impact you could see from that. Or for example if you could tell us how flows changed when you launched yours GARS SICAV after the OEIC. And the second question was just on platform consolidation. Do you think there's more platform consolidation that could happen in the UK? And if so will you participate or do you need to focus on the Elevate acquisition? Thanks.
Keith Skeoch: Okay, Colin on MyFolio and Paul on platform consolidation.
Paul Matthews: Yes, you're quite right, we launched it a couple of months ago. We're in the early stages of the discussions in one particular country, which is Germany, where we see some disruption to the advice and markets and we think we can help that disruption with a product like MyFolio which has been very successful. Although I should emphasis of course that it’s a MyFolio SICAV and therefore it available in multiple jurisdictions – Canada, Asia, all sorts of different places. So I think that's a very good example of taking an existing capability, an existing sort of innovation it was some years ago now – five or six years ago. And taking it into a pooled vehicle in an efficient way in the UK market – for the adviser market. And then thinking about taking that same intellectual capital if you like and re-wrapping it into other products that you can then take to lots of other markets. And I think that's a characteristic of our new product development activity over last couple year for example in addition to MyFolio SICAV we had the enhanced diversified growth fund which we put into a SICAV. We had emerging market debt unconstrained into a SICAV. We took GFS as I was mentioning earlier and put it into a Cayman fund. We took GFS and put it into the Hancock platform. So these are multiple examples – and back to the earlier point about efficiency and the platform. These are multiple examples of where you can take your capability and re-wrap it into different markets. Specifically, I think MyFolio SICAV in Germany could be quite interesting if we can extrapolate what we've been doing in the UK with it. Yes, there are too many platforms out there I suspect to survive. And we look after about 3,000 firms – IFA firms today. I think there's about – a crossover of about 300 between the Elevate platform and ourselves we both serve. So what you will see today is a number of IFAs that have multiple platforms which is way may be have some of their I think old-fashioned supermarkets will see IFAs just reduce the number of platforms they're using to use a fully functional one platform. The other market worth keeping an eye on is the DFM market. I think there's probably around GBP500 billion, GBP600 billion out there on DFMs. I think we have 71 DFMs now use our Wrap platform to market their portfolios. So I think again the Wrap platforms do offer a lot to the market. I think if you've got a strong business if you've got a weak platform and a weak business, you're in a poor place. Probably room for a couple of questions.
Unidentified Analyst: Hi, David here from Santander. I'd like to know a little bit more about your strategy in the US. Given your earlier comments as well on the [indiscernible] potentially of the regulation, how do you see that benefitting SLI?
Paul Matthews: We really have I think a dual strategy in the United States. Were we have worked with platforms and wholesalers like Hancock. And I think, Colin, we now have four funds on the Hancock platform. And we're looking at putting a couple of – more on so that helps us extend. That's a really useful platform. Not only to put your funds on but as you work with these people you get a really good understanding of changing client needs. We have extended on to other platforms as well. So we have some emerging markets funds on the Nationwide platform. And as well as working with wholesalers, we are also working quite hard with consultants and going direct to institutions as well because one of the benefits of the retail and wholesale platforms is it gets your brand name out there and that's really what the Ryder Cup sponsorship was all about. If you'd have been at Hazeltine you'd have seen Standard Life plasted will have the course made me quite proud actually. What made me even happier was the fact name recognition was getting out and on to the American institutions. And we ran seminars and – Investment seminars – around that time. So one of the things that's perhaps less visible is some of the flow that comes from the big institutions around the United States. So we run money for several large, what here would be described as public sector, pension funds. And they typically are in a combination of stuff including multi asset strategies and that stuff is actually quite stable. So we'll continue to work, grow, build up the Boston office. The Boston office has raised about 13 billion of over the last four or five years. It now employs 100 people. We will continue to build it out. But let me stress we are firmly focused on taking the world to the United States and very firmly focused on mediums and outlook rather than chasing flow in what's one of the more competitive markets in the world.
Colin Clark: I just have two things to add really. Keith's given you a flavor of the channel diversification if you like moving away from wholesalers to institutional. We've won clients in the Taft-Hartley insurance sector and in the endowment and foundation. So beginnings of quite a nice spread in terms of channels of distribution. But the other thing I think is that don't lose sight of the fact we now I think have nine products – investment products – live in the US with US investors. And clearly things have moved on quite a bit from three or four years ago when the entry point was with GARS and was with Hancock. It's now a much more diversified client footprint and a much more diversified product exposure into the U.S.
Keith Skeoch: Any more? No, Okay, well, I think it just remains for me to do two things. One, thank you for coming and listening and, in particular, thank you for your questions. And also to add my plaudit to that of Gordon's for Paul. I've been at Standard Life for 18 years; it's been a pleasure to work with Paul. And actually, I think we were working out we've been on the platform together here since 2000 & 2008 so it's been a real pleasure. I should add Paul is retiring so he's stepping down off the Board. He will be around at Standard Life for a few more months to help both me and Barry. So we're not totally losing his expertise in the short run. But it is the last time he'll be appearing on this platform. So on behalf of your colleagues, Paul, thank you very much for all your–
Colin Clark: And again thank you.